Sadayuki Hamaguchi: We would like to begin the fiscal year 2022 financial results announcement. We are grateful for the many of you who have chosen to join us today. Let me introduce to you the participants. CEO, Mr. Uchida Makoto; COO, Mr. Ashwani Gupta; CFO, Mr. Stephen Ma. Again, thank you for joining us. At the beginning, our COO, Mr. Gupta will present the fiscal year 2022 financial results. Mr. Gupta, please.
Ashwani Gupta: Thank you, Hamaguchi-san. Hello, everyone. Welcome to Nissan's full year financial results for fiscal year 2022. Let me begin with my sincere appreciation to our partners, customers and employees for supporting us through yet another challenging year. We are making company-wide efforts to deliver new cars as soon as possible with the cooperation of our suppliers, dealers and everyone else involved. I would like to sincerely apologize to our customers who are facing delivery delays. As always, Nissan's number one priority is to meet our customer needs. Nissan has faced many headwinds over the past year, but we have clearly identified the challenges, addressed them decisively and deliver results. Now I will take you through our retail sales for the 12-month period ending March 31, 2023, as well as our fourth quarter production volume and unit sales for the final 3 months of the fiscal year 2022. After that, I will then explain in more detail how we performed in our core markets, Japan, U.S., Europe and China. In my introductory remarks, I mentioned headwinds and challenging conditions. This slide shows the impact of these trends. For the 12-month period, the global unit sales saw a decline of 14.7% to 3.305 million. This is due to the combination of factors like COVID disruption in China as well as headwinds, including supply chain and logistics constraints. In China, unit sales were down by 24.3% to 1.045 million units, primarily due to reduced production linked to COVID lockdowns. By contrast, sales in our home market of Japan were up 6.1% at 454,000 units amid growing demand for electrified models. In North America, unit sales declined 13.5% to 1.023 million vehicles as we continue to prioritize value over volume. In Europe, sales are down 9.2% to 308,000 units. However, European sales rose 5.5% to 305,000 units when adjusted for our withdrawal from the Russian market in 2022. In other markets, 12-month sales were down 12.8% to 474,000 units. Our global production was up 12.1% at 2.32 million units when you exclude China. Output was flat at 3.38 million units, with China included. Now turning to our fourth quarter results. Despite challenging market conditions in China, we saw improvements in other parts of the world which was mainly because of availability of the semiconductors. Our global production volumes fell 8.8% year-on-year to 854,000 units. Globally, excluding China, fourth quarter production volumes increased by 23.9% on a year to 678,000 units amidst rising demand of our popular models. Production in China was down 54.8% to 177,000 units in the fourth quarter compared with the prior year quarter as we adjusted output to market conditions, including several headwinds mentioned earlier. Turning to unit sales. Global retail sales declined by 7.8% year-on-year to 894,000 units. Excluding China, global unit sales were up 13%, with particularly encouraging performances in Europe and North America. In our home market of Japan, unit sales rose 3.6% to 144,000 units. In North America, sales went up 17.4% to 316,000 units. And in Europe, where demand for electrified vehicles has been strong, our sales increased 28.7% to 100,000 units. Excluding the impact of prior year sales in Russia, our European sales rose 51.6%. Sales in other markets were up 3.9% at 127,000 units. Sales in China were down 42.7% to 207,000 units in the fourth quarter. In China, the rate of year-on-year decline was less severe when we exclude production volumes and unit sales from our partner, Dongfeng Automobile which was deconsolidated in October 2022. I will now go through our performance in core markets for the 12 months to March 31, 2023. As part of Nissan NEXT, we have gently transitioned our business from volume to value. Now is an appropriate moment to explain our progress in areas including our product lineup and our transition to electrification as well as our efforts to improve the profitability of core models to build share in key segments and to enhance our customer experience. In Japan, our strategic goal is reflected by the #1 segment share for our electrified Note and Aura models, where we sold 113,000 units in the past fiscal year. Across our model range, we have increased our e-POWER presence bringing our cumulative electrified unit sales more than 800,000 units since 2016. Nissan has also democratized the availability of electric vehicles with our award-winning Sakura Kie Car. It has been awarded 3 Car of the Year awards in Japan with unit sales reaching 33,000. With the success of those electrified models, our electrification ratio in Japan has increased by 9 points from last year and reached 48%. Turning to United States. In this core market, we are focused on the quality of our business presence. Among our core models, the Rogue segment share has increased to 7% and net revenue per unit rose 20%. Altima has increased its segment share to 16% and net revenue per unit rose 21%. The revenue per unit for the Pathfinder is even more impressive. It rose significantly by 48% and secured a higher segment share of 6%. And in the midsized pickup market, the Frontier has lifted its segment share to 10% and net revenues per unit rose 36%. These improving revenues per unit proves that our core models are well accepted by the United States customers and becoming as a foundation of probability in United States. I will now turn to the performance in Europe. The European market is transitioning rapidly to electrification, driven by a combination of new model launches and government support in several countries. Nissan has kept pace with this transition. Our electrification sales mix has almost doubled from 12% to 23% year-on-year with the availability of e-POWER models accelerating our strong presence in electric vehicles. This helped lift our net revenue per unit in Europe by 10%, with particularly strong demand for the best-selling Qashqai, the all-electric Ariya and the pioneering Leaf. Looking now at China in detail. The market environment was extremely challenging in the past fiscal year. Nissan was impacted by significant headwinds in China, including continued COVID-related lockdowns, restrictions on manufacturing activity. At the same time, we faced continued semiconductor shortage, which had a direct effect on production and sales. During the past year, the Chinese market was characterized by both a rapid shift to digitalization of customer behavior and most important, intensifying competition. Under this challenging environment, we prioritize the performance of core models and the customer experience in China. As a result, our Sylphy model remained market-leading sedan for the third year in succession. Last year, we sold more than 420,000 Sylphy vehicles in China, representing a segment share of 15%. We also put our effort on digitizing the customer experience. This reflects the growing importance of digitally-influenced purchase decisions, which now account for almost 1/3 of sales in China. In response, we upgraded the Nissan Intelligent app with functions enabling online purchase, maintenance contracts and roadside assistance. These initiatives underline Nissan's determination to manage its performance in China. I will now explain how our market performance has impacted our overall financial results. The next 2 slides show our key financial performance indicators on both the China JV proportionate basis and equity basis for fiscal 2022 and the fourth quarter. As you will see, despite the challenging environment, we have exceeded the financial outlook that we provided in November 2022 at our first half earnings announcement. On an equity basis, which is without our China JV operations, our net revenue for the year increased from the prior year to ¥10.6 trillion. Our operating profit was ¥377.1 billion, representing an operating margin of 3.6%. Net income was ¥221.9 billion, excluding the onetime loss from the exit from the Russian market this year, net income would have significantly improved from the prior year to ¥341.9 billion. Nissan's automotive operating profit continued to be positive for 3 consecutive quarters as we remain committed to strengthening the sustainability of our core business. Free cash flow for the automotive business was a positive ¥186.7 billion. Net cash for the automotive business was ¥1.21 trillion. On a proportionate basis, which includes our China JV operations, our net revenue rose to ¥11.81 trillion from ¥9.74 trillion last year. Operating profit for the year reached ¥484.6 billion with an operating margin of 4.1%. Free cash flow for the automotive business was a positive ¥14.6 billion. It was lower than the equity basis as free cash flow for our China operation was significantly impacted by the pandemic as well as semiconductor shortage. Net cash for the automotive business was ¥1.54 trillion. We continue to maintain strong levels of liquidity. Our cash and cash equivalents for the automotive business was ¥1.9 trillion on an equity basis and ¥2.26 trillion on a proportionate basis. We also maintained approximately ¥1.76 trillion in unused committed credit lines. This next slide highlights our key financial performance indicators for the 3 months ending March 31, 2022. On an equity basis, which excludes contributions from our China JV operations, our net revenues for the fourth quarter rose to ¥3.1 trillion from ¥2.27 trillion in the same period of 2021. On the same basis, operating profit was -- for the period was ¥87.4 billion with an operating margin of 2.8%. For the fourth quarter, net income was ¥106.9 billion. Our automotive free cash flow significantly improved in the fourth quarter to a positive ¥165.7 billion versus ¥55.5 billion in the prior year. On a proportionate basis, which includes our China operations, our net revenue for the fourth quarter rose to ¥3.36 trillion from ¥2.63 trillion last year. Operating profit under this major reached ¥109.5 billion for the quarter, representing an operating margin of 3.3%. In the fourth quarter, automotive free cash flow totaled ¥46.8 billion. Now let us look at the financial performance for the fiscal year. This is the income statement for the fiscal year ending March 31, 2023 on an equity basis. Net revenue increased by ¥2.17 trillion from the previous year to ¥10.6 trillion. Net revenue increased year-on-year, which was primarily driven by the improvement in the net revenue per unit as well as the weakening of the yen. Operating profit increased by ¥129.8 billion from the prior year to ¥377.1 billion, representing an operating margin of 3.6%. I will explain the details on the variance on the next slide. Extraordinary items deteriorated from the previous year due to onetime profit from the sale of Daimler shares in FY '21 as well as a onetime loss from the exit from Russian market in FY '24. This was partially offset by the improvement in nonoperating income, thanks primarily to the contributions from companies under the equity method. As a result, our net income for the fiscal year increased ¥6.4 billion to ¥221.9 billion. For the 3-month period, the net income increased significantly from the previous year to ¥106.9 billion. Turning now to the operating profit variance analysis for the fiscal year ending March 31, 2023. This slide shows the variance from an operating loss in FY '21 to the operating profit in FY '22. Foreign exchange had positive impact of ¥185.7 billion, primarily due to strong U.S. dollar. The increase in raw material prices had a negative impact of ¥230.8 billion, as a result of the price hike in materials. Sales performance had a positive impact of ¥491.1 billion. This was primarily driven by excellent acceptance of high-value products, coupled with disciplined price management, which is a result of our continued initiatives to improve quality of sales. Monozukuri cost is affected primarily by the inflation and is showing a negative impact of ¥126.6 billion. Other items, which had a negative impact of ¥189.6 billion include a decrease in operating profit from the sales finance business primarily due to the onetime release of provisions in the prior year as well as the impact from decline in asset size and used vehicle prices. As I mentioned in my opening remarks, fiscal 2022 was impacted by challenges, including continued COVID disruption in China as well as supply and logistic constraints, cost inflation and several other headwinds. Despite this challenging environment, Nissan has reported significant improvements in operating profit and a turnaround auto free cash flow positive. This demonstrates the benefits of our ongoing transformation, our increased agility and our operational flexibility. This contributed to improved quality of sales, higher revenue per unit for major models in each market and greater financial discipline. In addition, we are also showing steady progress toward our ambition of providing cleaner, safer and inclusive products to the market. In FY '22, our global electrification mix has increased from 7% to 11%. That is on track with the Nissan ambition target of more than 55% by 2030. I would like to express my sincere appreciation to all of our partners, suppliers, dealers and our employees for the dedicated efforts and contribution to our long-term success.  Now I will hand over to Uchida-san.
Makoto Uchida: Ashwani, thank you so much. Turning now to the outlook for the fiscal year 2023. Let me start with the volume outlook. In fiscal year 2022, our production and sales were severely strained by a series of challenges, including continued chip shortages, impacts of the lockdown in Shanghai and the surge of COVID-19 cases in China. The global semiconductor supply shortage is yet to be resolved, but the situation is improving. China's end to zero-COVID policy resulted in normalizing its economic activity. As Ashwani mentioned, our new products that were recently launched are gaining traction. And many of them increased the segment share. Given the circumstances, we are forecasting a global production volume of 4.1 million units and the global sales volume of 4 million units, both up 21% over the prior year. As competition intensifies in China market, we project a more modest growth than that of the rest of the regions. I will elaborate on China later. Based on the volume assumption, this is a summary income statement for the outlook for this year. Net revenue is expected to increase by 17% year-on-year to ¥12.4 trillion. We are forecasting operating profit to increase by 37.9% to ¥520 billion, which equates to an operating profit margin of 4.2%, up 0.6 percentage point. Net income is expected to increase by 42% to ¥315 billion. ForEx assumption is ¥130 to U.S. dollar and ¥135 to euro. This slide provides the year-on-year operating profit variance for the fiscal year forecast. Due to the appreciation of yen, foreign exchange is expected to have a negative impact of ¥85 billion. After an inflationary surge, raw material prices are stabilizing, but are expected to remain high. The estimated impact is a positive ¥30 billion with a slight improvement year-on-year. Sales performance is forecasted to have a positive impact of ¥450 billion, mainly driven by sales growth and continued value pricing. Monozukuri costs are expected to have a negative impact of ¥110 billion. While production efficiency is expected to improve as volume grows, we foresee increasing costs due to inflation as well as bigger R&D investments for the future growth. Others are expected to have a negative impact of ¥142 billion. Sales finance business, while continuing to deliver solid results is expected to have negative impact due to significant increase in market interest rates and normalization of used car market. Turning to shareholder return. In our previous announcement, we mentioned to pay the fiscal year 2022 year-end dividend of ¥5 or more per share. Based on the profit, automotive free cash flow, cash on hand and other results of fiscal year 2022, the Board decided today to propose to pay a dividend of ¥10 per share at the Annual General Shareholders Meeting in June. For fiscal year 2023, we have set our dividend outlook at ¥15 or more per share in order to strike an optimum balance between making investments to ensure sustainable growth, maintaining our capacity to weather headwinds in an uncertain economic environment and further enhancement of shareholder return. The dividend amount will be updated as necessary as we progress in fiscal year 2023. Nissan continues to boost shareholder return by further improving the company's performance and building stronger financial foundation. In addition to increasing dividend payment, we see an urgent need to improve the price to book ratio that is well below 1.0 as soon as possible to increase shareholder value. These were the results of fiscal year 2022 and the outlook for fiscal year 2023. This year is the final year of Nissan NEXT business transformation. Let me present the progress so far and ongoing challenges. Under Nissan NEXT that started in May 2020, we have been rationalizing production capacity and costs while prioritizing and focusing on core markets, products and technologies to build stronger business foundation. Introduction of new competitive models equipped with the latest technologies, including electrification and vehicle intelligence, as Ashwani mentioned, is significantly increasing customer satisfaction, the revenue per unit and boosting our operating profit. The company grew into a more streamlined and agile organization while continuously reducing fixed costs. We have been strengthening our financial foundation to ensure stable earnings irrespective of the business environment. Nissan currently has a capacity that exceeds the annual production plan. We are making every effort to enable the plants to build cars according to the plan. Business climate is totally different from our initial assumption of Nissan NEXT. We will keep a close eye on the market trends and explore opportunities. Our efforts for growth are well underway. Nissan is working on latest innovations that will drive the future of mobility. We have made further progress in the development of materials for all solid-state batteries, which are our game changer in electrification. We are achieving charging performance that far exceeds existing liquid lithium-ion batteries while still maintaining high energy density. The driving force behind this is an open and close collaboration between material suppliers and our R&D community Our next challenge is to develop batteries large enough to be used in electric vehicles. We have completed the concept of the pilot production line schedule to start operation in 2024. We hope to show you a prototype vehicle with all solid-state battery as soon as possible. We are also working on X-in-1, Nissan's new approach to e-powertrain development in which both our EV and e-POWER powertrains are built with modular components. Nissan aims to achieve an e-POWER price parity with internal combustion engine by 2026 with this new approach and accelerate democratization of electrified vehicles. In order to build safer mobility, we are developing the next-generation LiDAR technology with significantly enhanced collision avoidance operations. The areas of improvement are very clear to us, and company-wide efforts are underway to address them. As I said, Nissan is currently unable to make up for the production and sales loss in China by the rest of the regions. As a result, contribution of our Chinese operation declined and the expected operating margin for fiscal year 2023 is slightly short of the Nissan NEXT milestone. We knew that the business environment in China is undergoing significant changes. I saw it for myself during my trip to China last month. The market is changing much faster than we had anticipated. In order for Nissan to sustain and grow its business in the market, we must break away our traditional processes and methodologies and redesign our business structure into the one with more agility. We are going to incorporate concrete action plan into the next midterm plan, which is under development. Nissan intends to maximize the use of existing assets and carry out necessary reforms with speed. This year, our Chinese joint venture marks its 20th anniversary. Over that time, we have sold more than 15 million units to our value customers in China. This is a big asset. Nissan does business in China across the entire value chain, including parts sourcing, designing, development, production, sales and aftersales. We also have a competitive in-house [Indiscernible] team in the digital domain, such as connectivity and application that is high in demand. In addition to Nissan and INFINITI brands, we have Venucia, our local brand, which is another great asset. We believe that Venucia will provide us with more growth opportunities in the future. We intend to leverage the Venucia brand as well as Nissan Infinity brands that enjoys greater agility to address the fast-growing market of new energy vehicles through timely introduction of new models. These assets make us as competitive as other local brands. This is one of the strengths that only Nissan enjoys among other joint venture brands that are facing similar challenges. Nissan plans to unveil the new midterm plan around this fall, which is intended to bridge to our Ambition 2030 and will ensure sustainable growth of the company and increase our corporate value by further promoting prioritization and focus and building a stronger financial foundation that enables us to enjoy stable earnings. The plan will also include a concrete action required to achieve carbon neutrality and empowering mobility and society growth strategy using alliance and other partnerships and initiatives to create new business opportunities by capitalizing on our strengths such as electrification and vehicle intelligence technologies. I will also present a financial strategy to achieve return on capital in excess of the cost of capital in the announcement, which I referred to earlier. Nissan is celebrating its 90th anniversary this year. The company faces a series of challenges. Despite the environment, we continue to take on challenges as one team to carry on the history and make Nissan shine for the next 100 years. Thank you for your attention.
Operator: Okay. We would like to start the Q&A session. [Operator Instructions] Shall we start with [Nikkei Shimbun].
Unidentified Analyst: This is [Indiscernible] of [Nikkei Shimbun]. I have two questions. U.S. is the first one. Production and sales forecast for this fiscal year is a question. For the production, you are trying to resolve the bottleneck, I believe. Specifically, how are you going to grow this? And the sales, as the interest rates are hiking and the recession possibility is heightening, so how do you perceive the environment for the sales? And the second one is the sales finance business forecast for this fiscal year. Interest rate is hiking, and net credit loss -- provision for net credit loss may be increasing. How does it impact the profit and bottom line? And at least -- and it's really hard for me. The purchasing environment, the procurement environment, how do you perceive this? Sorry, it was very unclear.
Makoto Uchida: Thank you for the question. There are two questions that you raised. Talking about the sales finance, I would like to ask Kochhar-san, who is the Senior Vice President, to answer about the sales finance. And the first question, excuse me, it was a connection poor. Are you asking how we are growing the sales and production in U.S.? I think that's what you meant. If you look at the U.S. market, is there any big impact that we expect in U.S. on sales and production? I think we see opportunities in U.S. I show you the numbers earlier. For example, in 2022 Q4 compared to the prior year, U.S. grew a lot. In the full year, because of the supply chain challenges, it was difficult. But we compared to last year, we are trying to grow the product line growth like Rogue, Sentra. We have a plan to double the number for Sentra, for example. Driven by these models, we would like to achieve 29% growth rate that we are foreseeing. And this is what the sales is expected to contribute. Relationship with the dealers are becoming better. In 2020, we announced Nissan NEXT in order to enhance the quality of sales. These are becoming a reality. And as a result, our Nissan products are well received by the market. That is why we believe that sales volume in U.S. in 2023 can grow. This is what's behind the numbers. And the second question, excuse me, sales finance, I would like to ask SVP Kochhar-san to answer. Go ahead.
Rakesh Kochhar: Thank you, [Ara-san], for your question. And you're absolutely right. The interest rates are rising, not just in the U.S. but across all over the world and in the U.S. and other markets, delinquencies are also rising. However, we are managing the risk very well. We expect another solid year of sales finance profits, although we already said that it's going to be lower than fiscal year '22 for the reasons, higher interest rates as well as the high delinquencies. We have no refinancing risk. Our balance sheet in the sales finance business, like in the auto business is very solid. 38% of our assets are actually self-funded by equity or group loans. So lenders see that and they get a lot of comfort. On delinquencies, even though they are rising, they are significantly lower than what we have seen in the past. So we're very, very comfortable. The business is being managed in a very effective way, and we continue to see good performance there. Thank you, Ara-san . I hope I answered your question.
Operator: Moving on to the next question. [Yamana-san] of NHK.
Unidentified Analyst: In [Yamana-san] of NHK. I have two questions. First, last year's performance, China business. China, due to the impact from lockdown you had suffered. My question to Uchida-san. You said that the speed is transforming very rapidly, specifically software EV. What are the factors where the speed of change is fastest? And in order to achieve victory, what are the factors necessary for Japanese manufacturers? Second, for the outlook for this year, revenue will be a record high according to your forecast. Mr. Uchida, you have been talking about transformation of management as you were appointed to the CEO. What do you think about such outlook? And the global environment is still full of uncertainties but your plan is to increase sales in all of the sectors. What is the basis of this outlook of record high revenues?
Makoto Uchida: This is Uchida speaking. Thank you for those 2 points. Dealing with the second point first. Rather than talking about the basis in Nissan NEXT, we have committed to the change and that will deliver fruit. Of course, there was the COVID chip shortage problem, but 4.1 million units. What is the outlook of securing chips? In our relationship with suppliers, we are applying ingenuity to secure enough ships. So rather than the same situation repeating this year, we think that gradual recovery will take place. Then the quality of sales and productivity to which we have injected will bear fruit. We will be able to manufacture and that will serve as the backdrop of increased sales. And on your first point, the models that we have created are very popular amongst our customers. When we took over Nissan, the brand had been damaged and the brand value from even our perspective was at low price. Even from our perspective, we thought that it would have deserved a higher price. That's how low the quality was. But now we are in a virtuous cycle, and that is leading to higher sales and revenues. So this is all due to the employees' efforts, they are given the credit and the top management who are sat here should be given the credit and the Nissan's good points have delivered results. We have a model that makes money, but we should not be complacent. The opaqueness of the business environment we are in is very serious. There are many uncertainties. So market by market, the trend is changing, the ecosystem is changing, and I think it's all about securing strong presence. And this would lead to the first question, but -- one good example is China. And in fact, it's not just myself, but all -- the 3 of us have visited China. And later, Ashwani-san will probably comment on the actual situation on the field in China. But even before I became CEO, I was in charge of China. Back then, local brands were already there. We witnessed the speed of development and agility to respond to market needs was already there. And during the past 3 years, there has been acceleration NEV in the EV, N-E-V is the word they use. And EV is already taken for granted, and there are many specifications that they are offering, meeting the needs of the customers in order to secure prominence in the world of NEVs. We were really surprised and shocked. In just a matter of 3.5 years, I was very impressed about how fast the speed has become. So we were reminded and we were reminded that we are in crisis. But we've been doing this for 20 years and 15 million units have been sold in China. And the customers that own Nissan, they must become our repeat customers and we need the measures to make them repeat customers so that they would choose Nissan for their next car. And on the other hand, if we look at our growth trajectory, and you said EVs -- C segment EVs, can the conventional model be viable? I think we need to look at various potentials and possibilities. What can we do more by taking advantage of the assets we have already locally. We are already beginning to discuss these points with our partner. We haven't reached the point where we can disclose that with you. But when that time is right, we will comment on that.
Ashwani Gupta: Thank you, [Yamana-san]. So -- last year, it's very difficult to analyze the China performance because there are many factors which impacted the China performance. So one, the external factors, which were driven by the COVID and the lockdowns. Second, the semiconductor availability. The third is our own Nissan's X-Trail 3-cylinder performance. And number four, that unavailability of the electric vehicles by Nissan in China. So when we saw in 2022 that the electrified market in China rapidly grew whereas we were short of the electrified vehicles. So that's why it's difficult to really categorize which goes where now. Moving forward, when things are becoming normal in terms of COVID, in terms of semiconductor availability, what are the 3 big things which are changing in China. Two years before we thought that electrification is driven by numberplate restrictions, by the incentives and so on. Whereas after 2 years, what we understand that it is customer also which is pulling the electrified vehicles. For example, the 60% of the new electric cars are bought by the first-time buyers. So that's the first big change. The second big change, 2 years before what we thought is the software or the customer service is totally changed to software first and the chassis and the tires and the instrument panel after. And this is where the market has changed significantly. And the third most important is time to market, which in China, we see clearly between 2 to 3 years' time to market, whereas the global automotive manufacturers have much more time to market. So I think these are the 3 things which have changed absolutely in China in the last 2 to 3 years. And that's why we have to speed up and align or redefine the way we design, the way we manufacture, the way we sell cars in China. I hope it answers your question. Thank you.
Operator: Moving on to the next question, [Mizhuturi Shimbun].
Unidentified Analyst: My name is [Mizhuturi]. I have two questions. The first one. Earlier, you touched upon that. Nissan NEXT, how do you assess the Nissan NEXT performance so far? Earlier, you said that since 2020, your profit or earning capabilities has been rising. But if you look at operating profit guidance, it's a little over 4% for this fiscal year, which is falling short of the Nissan NEXT milestone. Having said that, once you have the ample supply of parts, do you think that you can achieve this operating margin milestone. So the financial foundation is strong that enables you to achieve the mouse of Nissan NEXT? Semiconductor supply short will continue, right? So this -- in order to boost the operating margin and conclusive to Nissan NEXT milestone, is there anything that you can do more? And the question is about the operating profit by region for Japan. Compared to fiscal year 2022 is better, but it's like ¥150.3 billion. So this is pretty big of amount. R&D expenses are borne by Japan, which is greater than the rest of the regions, and this may be one of the reasons. But the amount is so big, so how do you -- what are you going to restore the profitability of Japan operation?
Makoto Uchida: Yes. Thank you for the question. Yes, in Nissan NEXT, as I said, in fiscal year 2020, we first focus on building a stronger financial foundation and make sure that the business was in a tough situation, as you may remember. When I became CEO, I said that Nissan can do more than what you see today. We have wonderful talent. We have a lot of talented people within the organization, and I thought this was the responsibility of management to guide them. So with Nissan NEXT, we -- as a result, we have been improving the brand, which was damaged, thanks to efforts by our employees. And not only the operations, but the partners, sales -- the dealers, the relationship with dealers are becoming better, and this is another big factor. . And taking this into account, this full year guidance of 2023 was calculated. Products are better. Relationship is better. Having said that, we need to make changes in other aspects. In order to pursue growth, we need to think of a way to look for new sources of revenue or digital assets on top of what we have made in the past years. That is what is expected to do to answer the strategic questions in the next midterm plan. And in the current portfolio, the main battlefield is U.S., Japan and China. China, there was a question about China earlier. In order for Nissan to grow, and make -- how to make customers understand the value of Nissan? What do we do concrete? Unless we show this concrete plan, Nissan's future potential from the market perception will not be convincing enough. So this year, as I said, in the new midterm plan, which we will unveil this year, we would like to make this clear so that you understand. And the second question, there are some figures. So I would like to ask CFO to provide additional information to answer your question.
Stephen Ma: I'm sorry, I did not quite catch your question, sorry, for the translation. Could you repeat the question one more time for me? .
Unidentified Analyst: Sure, [Mizhuturi], yes, the regional breakdown of operating profit, especially Japan, how are you going to restore the profitability of Japan? Because you have a big loss in Japan. According to document, it's ¥150.3 billion of losses made by Japan operation alone. So how are you going to restore this profitability. What are you going to do to improve this profitability?
Stephen Ma: The Japan is showing a negative number, but that negative has hugely declined versus previous year, a big improvement. So if you look at the details, it's improved by -- I think to reduce the loss by at least half and is improving further. And obviously, as mentioned earlier by our CEO and CEO, it's volume story. We need to increase the volume, obviously. We don't have enough scale in terms -- right now to cover all the fixed costs. And as you rightly mentioned, some of the global fixed costs are in Japan. So there's a global cost in here. Of course, the way to go forward to get that back to positive territories, one is volume. The second is continue the good financial discipline we have in terms of fixed cost control. And three, is looking at how we optimize the mix and production and how we look at everything. Of course, given the current inflationary environment, energy cost and many things. Another thing we're looking at also in Japan recently is how to rectify or set the right pricing in the Japan market as well to reflect the latest environment. So we're doing everything from all the angles. And hopefully, you would get better next time you see these numbers.
Operator: Moving on to the next question. [Asahi Shimbun].
Unidentified Analyst: I have a question on China and the U.S. One question each. China market, yes, you mentioned that harshness continues. We understand that. And in the midst of such environment, plus 8.1%, 1.13 million is the outlook. NEV is emerging and ICE is struggling. How are you going to reach the number of units, and you want to be profitable. Can you reach 1.13 with profitability? ICE is difficult. So how are you going to balance the presence, the profitability and the market environment to reach such outlook? That's my first question. Secondly, U.S. EV strategy. This term, your outlook is for number of units to grow, volume to grow. But BEV portion will increase. Our IRA, Inflation Reduction Act, under that, Leaf was put out of the scope, but supply chain resilience, how do you intend to tackle the IRA issues? And how are you designing incentive in the U.S. market? Those are my questions.
Makoto Uchida: Then regarding IRA, I will ask Ashwani to respond. And -- the rest, I will add some comments. Please go ahead.
Ashwani Gupta: Yes. Thank you. The U.S., I think the second question. First of all, the U.S. EV strategy is same as our global EV strategy. We have launched LEAF. We have launched Ariya, which is doing a big -- good reception from the customers. Of course, Leaf, we started manufacturing in 2011, and Ariya, we are exporting from Japan. But as we announced in last year, $500 million of investment in Canton, to come up with a brand-new 4 cars. These all 4 cars are being targeted to be localized in the United States, starting from platform to battery to be powertrain and so on. Now why Leaf has been excluded from IRA is -- IRA is recently announced. Leaf, we started manufacturing in 2010. So when we designed, developed Leaf, we never had in our mind that what would be the IRA regulation. So that's the reason that Leaf is not in the IRA. Having said that, what would be our next step. So next step, as I said, the 4 models battery electric models, which we are going to manufacture in the United States, we are targeting to qualify for the IRA by addressing platform, e-powertrain and the battery localization.
Makoto Uchida: So in that sense, including IRA, Nissan is trying to enjoy the benefit with these new models, and we are deepening the collaborations with the suppliers to this end. And talking about China. China, new energy vehicles are growing largely but C segment where we are strong with Sylphy, we see a strong demand in this segment as well. So we are planning for the new products. So along with these, we would like to boost the volume in China. That's how we calculate the full year guidance. As I said, our units in operation is pretty big, which we are proud about. So we would like to deliver the products that the customers will accept based on this volume. As you said, the latest circumstances in China is very tough, challenging. So profitability -- make sure -- we have to strike a balance between price and profit as we operate the Chinese business. We are having a close eye on the market trend. We will look at the next 3 months, review closely and determine the direction -- we see the necessity to figure out the directionality of operation in China. We are not overly optimistic. We have capacity and sales power, but the market circumstances are extremely challenging. In the next 3 months, we have to see how it will turn out. In many aspects, we need to anticipate things. Where we announced the first quarter results, let me share with you what we have reviewed about China.
Operator: Next one will be the last question. Toyo Keizai [Inoli-san].
Unidentified Analyst: This is [Inoli-san] from Toyo Keizai. For the full year guidance of 2023, I have a question. The first one. Operating profit will increase thanks to raw materials because as a benefit, that's why see the variance. Raw material, will this be a bigger impact? How do you assess the raw material impact for this fiscal year? That's my question. And the other one, in the financial documents, production volume guidance was never unveiled in the past quarters, but you are showing this time for the first time, why?
Makoto Uchida: Regarding the first question, I will ask our CFO to respond.
Stephen Ma: I think as we all saw in FY '22, raw material prices went up hugely and reached a very high level. And as we can see from the market prices in recent months, it has plateaued and it has come down generally. So all the major raw material prices has come down. It's still fairly high compared to 2 or 3 years ago, but it has come down since last year. So what we have done in the outlook for next year, we already incorporated partially some of that good news in our estimation. In recent weeks, I think some of the prices come down even more. What's still kind of expensive is EV-related kind of materials are still kind of high, but also they seem to be softening. So outlook should be okay. We're just now looking to see how -- when they will stabilize. So right now I feel comfortable with this assumption in the budget for next year. Production volume guidance, I believe, historically, in the past, Nissan used to long time ago give production guidance. I think the last few years, we haven't given because of COVID and many other things, we didn't give that. But now that we have better visibility of our supply chain and hopefully, things are recovering. And we want to sort of give this indication because with the production and retail, you can also understand potentially what the wholesale, which is also driving the financials. Of course, the timing, there will always be some lag in the timing, but the production will be a sort of a leading indicator that shows you where the trend is going. So I think the production volume, as we disclosed for next year is 4.1 million, retail is 4 million, which means the volume is growing. Given that these two numbers are growing roughly 21%, you can safely assume also that our sales -- wholesale volume of roughly 20%, 21% growth, which drives our financials.
Operator: Okay. Thank you so much. Now it's 5:30, so we would like to end this session. Thank you for joining us.